Operator: Good day, and thank you for standing by. Welcome to the AMC Networks First Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker, Nicholas Seibert, VP of Corporate Development and Investor Relations. Please go ahead.
Nicholas Seibert: Thank you. Good morning, and welcome to the AMC Networks first quarter 2024 earnings conference call. Joining us this morning are Kristin Dolan, Chief Executive Officer; Patrick O'Connell, Chief Financial Officer; Kim Kelleher, Chief Commercial Officer; and Dan McDermott, President of Entertainment and AMC Studios. Today's press release is available on our website at amcnetworks.com. We will begin with prepared remarks and then we'll open the call for questions. Today's call may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ. Please refer to AMC Networks SEC filings for a discussion of risks and uncertainties. The company disclaims any obligation to update any forward-looking statements made on this call today. We will discuss certain non-GAAP financial measures. The require definitions and reconciliations can be found in today's press release. With that, I'd like to turn the call over to Kristin.
Kristin Dolan: Thanks, Nick, and good morning, everyone. In the first quarter, we continue to execute on our strategic priorities, including the ongoing delivery of healthy free cash flow. New technologies are transforming the media industry, providing consumers with more entertainment options than ever before. For AMC networks, taking advantage of these new opportunities, addressing how, when, and where consumers watch our programming is at the heart of our strategy. Last month we joined with our most important commercial and creative partners for our 2024 upfront. I'd like to spend a few minutes on some of the key messages we delivered to our commercial partners, which underscore our strengths and how these strengths connect to our strategy, which is to produce great content and make it available to viewers whenever and wherever they want to watch. We engage with viewers through a wide variety of endpoints and monetize our content wherever possible. We serve an aggregated audience of more than 91 million across our linear networks, targeted streaming services, and more than 100 channel feeds on third party CTV and FAST platforms. As an independent programmer not tied to a broadcast network or distribution platform, AMC Networks has the freedom to present our content in all of these places in whatever format our partners and viewers enjoy. Our options are not limited or constrained in this fast-changing world. In fact, we're seeing them grow. Our partners understand that we have the ability to be everywhere and importantly that we add value wherever we are. In addition to our priority of engaging viewers with premium content, we also focus heavily on nurturing and expanding our commercial relationships. We aim to create content that resonates in the marketplace and we work hard to ensure that our partners also benefit from that success. As part of our upfront, we announced that we plan to launch ad supported versions of our targeted streaming services by the end of next year. Our popular streaming brands such as Acorn TV, Shudder, ALLBLK and HIDIVE will, for the first time, have ad-supported versions available on a standalone basis. This will allow us to deliver entire genres and highly engaged fan communities to our advertising partners, with a greater level of targeting and performance outcomes than ever before. We've often spoken about our technological leadership position in advertising and we're proud to continue to be at the forefront in this space. To give you a sense of what this means in practice, 70% of our linear footprint today is enabled for addressable advertising. This includes addressable slots in every single hour of programming on each and every one of our networks. 40% of that addressable linear footprint can be bought programmatically, which is by far the largest percentage of programmatic linear inventory in the industry. Obviously, 100% of our digital inventory is also programmatic. As media plans increasingly include sophisticated targeting utilizing both linear and digital inventory, this is a meaningful point of differentiation for us. While we're meeting viewers across our brands, networks, and streaming services, we're also strategically windowing our content across dozens of endpoints, enabling us to optimize our programming investments. At the same time, we're aggressively pursuing attractive international content licensing arrangements in parts of the world beyond our own distribution footprints. These opportunities continue to be available to us because AMC Networks is upholding and delivering on its commitment to quality content. I'll touch on a few of our first quarter programming highlights and provide a brief look at the strong slate we have for the year ahead. On AMC and AMC+, we brought viewers the latest series in our expanding Walking Dead universe and it was the biggest one yet. The Walking Dead: The Ones Who Live became the most viewed series in the history of AMC+, driving the biggest single day of direct-to-consumer signups in the history of the service. It was a hit on linear cable as well with 3 million viewers tuning in for the premiere night telecast. The series was critically acclaimed and attracted significant social media attention during each Sunday night premiere. This success reflects the continued strength of the Walking Dead Universe and the ability of its characters and stories to command attention and engage fans. It also underscores our ability to build and grow franchise driven fandoms, which we think we do as well as anyone. This core competency will again be on display this Sunday night with the highly anticipated premiere of the second season of Anne Rice's Interview with the Vampire on AMC and AMC+. And next month, we're excited to introduce a new series in the popular Orphan Black Universe, Orphan Black: Echoes, on AMC, AMC+, and BBC America. Our film business has the rights to more than 1,500 titles across our portfolio and continues to carve out a leadership position in the horror genre. The latest example of this is a film called Late Night with the Devil, which had the biggest opening weekend in IFC Films' history on 1,400 screens and significantly outperformed box office projections. The film recently moved to our Shudder Horror Service, where it quickly became the number one film in Shudder history, while achieving 1 million streamers faster than any other title on the service. We continue to super serve passionate anime audiences with our streaming service, HIDIVE, which recently wants to a new and improved consumer app, and this summer will premiere a new season of the biggest series in its history, Oshi no Ko. Our popular Acorn TV streaming service just unveiled a smart and expansive brand refresh and has a great lineup of shows coming over the next few months. As is the case with all our targeted streaming services, we see a real opportunity to lean aggressively into the unique experience and a feeling of community that Acorn’s offers its fans. Over the next few months, Acorn subscribers will have access to new seasons of Harry Wilde starring Jane Seymour. My Life is Murder starring Lucy Lawless, as well as perennial favorite Signora Volpe and Under the [Binds] (ph). WE tv is strategically focusing its original strategy on Friday nights with new series like Deb's House and the [indiscernible] and a new season of the popular Love After Lockup franchise. Friday is our strongest night of the week, particularly with women viewers. We think this represents a real opportunity that will be aided even further by the highly anticipated return of the Braxton Family this summer. Our programming defines our company and our relationships with viewers, but it also drives the engaged audiences and value we're able to deliver to our commercial partners. We continue to see strength in our affiliate relationships driven by the low wholesale price of our networks compared to the value we bring with our popular content. We continue to bring high quality scripted dramas on Sunday nights on AMC and to test and innovate with our distribution partners. We recently renewed the carriage of our portfolio of linear networks, as well as our streaming services, with one of our long-standing partners, Verizon. During the quarter, we successfully launched BBC News on leading CTV and FAST platforms at a time when reliable and impartial news is more important than ever. We're also pleased to see momentum continue to build with new internet delivered skinny bundles, including Charter's new Spectrum TV stream package. And Comcast Now TV, both of which include all five of our linear networks, as well as BBC News. In terms of our international business, last month in the UK, we launched a new streaming offering on ITVX, the British ad-supported streaming service operated by ITV called AMC Stories. A second branded offering, AMC Reality, will launch later this month. In the quarter, we saw strong audience performance in our southern, central, and northern European divisions. The Walking Dead: The Ones Who Live, became the number one show in the history of AMC+ in Spain, and just recently premiered in Latin America as well. As we continue to focus on building our brands, expanding our partner relationships and serving viewers, we're very confident in our ability to weather the changes that are happening in what remains a dynamic operating environment. While Patrick will discuss our financials in detail in just a moment, I'll note that we recently strengthened our balance sheet by completing a series of financing transactions that meaningfully extended our debt maturities. This allows us to continue to leverage our core strengths. We're generating significant free cash flow and have a strong balance sheet that allows us to focus on deliberate execution of our multi-year strategies. We're taking advantage of our unique position and strengths and we continue to produce and curate quality content and make it available to viewers across a range of platforms. As the world changes around us, we're successfully reorienting our business and our prospects around the consumer-driven changes that are happening across the industry. With that, I'll turn the call over to Patrick.
Patrick O'Connell: Thank you, Kristin. We are pleased with our first quarter results, and we remain on track to achieve our financial outlook for the year. This includes year-over-year free cash flow growth for 2024 and approximately $0.5 billion of cumulative free cash flow by the end of 2025. I'll start with a high-level review of our results for the quarter, and then I'll provide a summary of the recent actions we took to strengthen our balance sheet, then I'll briefly discuss our outlook, and then we'll move to Q&A. We've made significant progress in reorienting our business in a tough environment. Our endemic strengths have allowed us to act quickly and decisively to achieve an equilibrium, balancing investment in our most important asset, our content, with the generation of significant free cash flow to maintain our healthy balance sheet. While we remain vigilant, we are pleased with the results we see today. This is more than just the strong performance of The Walking Dead: The Ones Who Live or the diverse and exciting slate we have teed up for the rest of the year, which Kristin just highlighted, but also the meaningful free cash flow we delivered in the first quarter and our expectation of continued cash generation going forward. On to our first quarter consolidated results. Consolidated revenue decreased 17% to $596 million in the quarter. Excluding nonrecurring revenue from Silo, the AMC Studio series we produced for Apple TV and 25/7 Media in the prior period, revenue decreased 6%. Adjusted operating income was $149 million, representing a 25% margin and we generated $144 million of free cash flow in the quarter. Free cash flow in the quarter increased meaningfully as compared to the prior year period and reflected our prudent content investment strategy as well as the timing of production and certain tax items. Touching on our segment financials, domestic operations revenue decreased 14% to $524 million in the first quarter. Excluding Silo, revenue decreased 6%. Content licensing revenue decreased 40% to $62 million due to revenue related to the delivery of episodes of Silo in the prior year period, which was partly offset by the sale of Killing Eve, as well as the timing and availability of deliveries in the current period. Excluding the impact of Silo, licensing revenue increased 31% year-over-year. On our last call, I discussed how The Walking Dead and Fear of The Walking Dead have historically been top performers. Thankfully, for us, our studio produces a broad array of high-quality content for us to monetize across windows and territories. So while those two titles may be important to us, in 2024 we expect those titles to represent a modest fraction less than 20% of our domestic operations content licensing revenue. Moving to subscription revenue. Subscription revenue decreased 7% due to a 14% decline in affiliate revenue, which was primarily driven by linear subscriber declines and was partially offset by streaming revenue growth of 3%. The result of a rate event at Shudder, strong growth at HIDIVE and an increase in total subscribers to $11.5 million at the end of the quarter. Advertising revenue declined 13% due to lower Vimeo ratings with acquired programming underperforming relative to our original programming, as well as a difficult ad environment, which was partially offset by continued digital growth. In terms of marketplace dynamics, we've seen scatter show signs of improvement across linear and digital as the year progresses. As we look forward to this year's upfront, one thing we hear consistently is that buyers want more flexibility in how they transact. And we feel well positioned to meet their needs as a market leader with robust buying capabilities to support this market need. Domestic operations AOI was $162 million for the quarter with a healthy margin of 31%. The year-over-year decrease in AOI was largely driven by the revenue decline. It was partially offset by continued cost discipline. Moving on to our International segment, which, as a reminder, no longer includes the results of 25/7 Media. First quarter revenue was $76 million, representing a decrease of 3%, excluding the contribution from 25/7 Media in the prior year period. Adjusted operating income was $13 million for the quarter with a margin of 18%. Moving to the balance sheet. In April, we completed a series of financing transactions to proactively address upcoming maturities. This included tapping the market to issue $875 million of new 2029 senior secured notes, retiring all $775 million of our existing senior unsecured notes due 2025 and extending the maturity of our credit facility to 2028. Adjusted for the closing of these transactions, we ended the quarter with net debt of approximately $1.7 billion and a consolidated net leverage ratio of 2.8 times. Adjust for the closing of these transactions, we currently have approximately $775 million of total liquidity, including approximately $600 million of cash on the balance sheet and our undrawn $175 million revolver. Since the third quarter of 2023, we have paid down more than $500 million of gross debt. The proactive and prudent management of our balance sheet affords us valuable flexibility as well as the ability to fully focus on the evolution of our business as the new video landscape continues to take shape. We appreciate the flexibility and optionality that our current cash balance affords us. Additionally, we believe that our current capital structure present potential opportunities for us to deploy our cash flow in a value-accretive manner over time. On the topic of capital allocation, our philosophy remains prudent and opportunistic. First, we look to support the business by creating and acquiring compelling programming that resonates with our audiences while maintaining healthy levels of profitability and cash flow generation. Second, we look to improve our balance sheet by reducing gross debt and optimizing our capital structure. Third, strategic M&A and returning capital to shareholders remain further down our current priority list. I'll now summarize and reiterate our outlook. We are pleased to reiterate that we expect to grow free cash flow year-over-year in 2024, and that by 2025, we expect to have generated cumulative free cash flow of approximately $0.5 billion. Regarding revenue, we continue to expect total revenue of approximately $2.4 billion for the full year. Moving to AOI. For 2024, we continue to expect consolidated AOI of $550 million to $575 million. Continued streaming and digital advertising growth, as well as disciplined expense management remain a focus despite revenue headwinds in the New Year business. We also continue to expect programming amortization to be similar to 2023 levels and cash programming spend to be approximately $1 billion in 2024. Before we open it up for Q&A, I would like to reiterate what I've said before in the past regarding our overarching financial approach. AMC Networks is employing a back-to-basics approach that emphasizes broad distribution of our content across platforms and prioritizes near-term monetization, while at the same time, taking advantage of our unique position as a nimble and innovative premium programmer. We'll continue to allocate our capital wisely to ensure we maintain a healthy balance sheet, remain extremely disciplined on expenses and balance appropriate levels of programming investment against available monetization opportunities. We are pleased with the progress we've made on these fronts and look forward to delivering one of the strongest content slates AMC Networks has had in recent memory. Operator, please open the line for questions.
Operator: Certainly. [Operator Instructions] Our first question will come from David Joyce of Seaport Research Partners. Your line is open.
David Joyce: Thank you. On the distribution side of things, I was wondering what are you seeing in terms of the incremental cord cutters from here? Is it a factor of older demographics not being replaced by the younger cord nevers? Or are you still seeing people who are looking for some price differential? And if it is pricing, what do you think it will take to get the industry to -- and I think you are maybe further along thematically than some other entities. But in terms of making a program available on whatever platform, but what's it going to take for the whole industry to be agnostic as to where subscribers are watching? Thanks.
Kristin Dolan: Hi, David, it's Kristin. That was a long one. Good morning. Across the board, I think we're seeing -- you saw we had some growth in our streaming subscriptions this quarter and which is interesting for us, because we haven't actually scraped our linear programming to support our streaming services. So for us, we're somewhat agnostic to the platform in which we deliver the content because we give everybody all of our best stuff regardless of where they want to watch. But I do think the skinny bundles will probably help as more distributors focus on ad opportunity and then seeing things like unlimited broadband from Comcast and different approaches to just distribution of broadband capabilities will probably help kind of smooth some of this out going forward. But for us, again, our motto has always been to deliver everything we can to whoever wants to view it in whatever format they want to view it. So that's really our focus particularly since we're not tied to a distributor.
David Joyce: And do you still have more of those agreements to come? Or are you already set?
Patrick O’Connell: Hi, David, it's Patrick. I'll take it. Yes, listen, we've got fantastic relationships with our existing distributors. Obviously, we just recently announced the renewal of our deal with Verizon. You should assume that at any given point, we're sitting in front of between 25% and 50% of our distribution footprint. As you all know, these are long-standing highly symbiotic relationships that are multidimensional in terms of their economics. We add tremendous value into these -- to these distributors and also, obviously, to the end consumer, given that our programming punches way above its weight from a kind of price to kind of audience delivery perspective. So we like those dynamics that are appreciated by our distributors. And we continue to have sort of very open, constructive and, frankly, innovative conversations with these distributors as the world continues to evolve here in terms of having in streaming products, having to participate on the advertising side of the business, et cetera. So it's really more the evolution that Kristin described. So we feel well situated in that regard given how much value we add into the traditional bundle. And we think that carries over as a perfect analog as this sort of rebundling of streaming products comes to the floor as well. So we like the cards that we hold in that respect.
David Joyce: All right. Thank you.
Operator: One moment for our next question. Our next question will be coming from Thomas Yeh of Morgan Stanley. Your line is open.
Thomas Yeh: Thanks so much. I wanted to ask about churn management opportunities on the streaming side. You cited some strong customer acquisition, but I think the net adds decelerated a little bit in the quarter relative to 4Q, does the programming schedule ahead or any other mechanism you see have an opportunity to control a little bit for churn from show to show? And maybe talk a bit about the overall programming slate and how that helps with managing the churn over time?
Kristin Dolan: Great. It's Kristin. I'll speak to the churn and then I'll let Dan speak a little bit about our programming. Our goal with all our streaming services, as we've talked about over the past few years is to provide a really good price value equation. And given that we're significantly less expensive on our targeted streaming services, we see lower churn, particularly on products like Acorn and HIDIVE. And so, both of those services have undergone in the last quarter rate events, rate increases where we saw minimal impact to our subscriptions. And then we're also seeing increased engagement on each of those services, as well as on Shudder, which we mentioned before. So we feel pretty confident -- very confident actually that the services provide a robust platform of programming for very specific segments of people. And then as we look at the programming slate, we're also identifying opportunities to share content amongst the different streaming services because the audiences are somewhat unique. So we're monetizing what we have in a variety of places and then really super serving the fans of the niche services that we offer at a competitive price. So Dan, I don't know if you want to add on the content slate.
Dan McDermott: I'll just reiterate, our services super serve passionate fan communities that engage distinct audiences. And we're designed to operate efficiently at a much more reasonable level of subscribers compared to larger general entertainment services. And this drives lower levels of churn and win backs. We have -- as you know, we have five streaming platform -- five linear platforms and seven streaming platforms as well as 18 FAST channels and multiple AVOD platforms. So consequently, our ability to efficiently window content throughout our ecosystem allows for maximum audience exposure and aggregation and importantly, revenue generation. And this is one of the things that makes us really distinct and compelling.
Thomas Yeh: Got it. And Kristin, you sounded excited about the ad-supported streaming opportunity. We've heard about elevated inventory driving some pressure on premium CPMs as more entrants kind of come into the space. Is there any color on just market dynamics around AVOD and CPMs and what you expect out of the opportunity to maybe replicate the ARPU that you're seeing on that ad free side?
Kristin Dolan: I'm glad you picked up on that, Thomas. We are very excited about ad-supported version of AMC Plus. And we can speak to that a little bit and then as well as our announcement about launching ad-supported versions of our other streaming services in the next 12 months and beyond. So Kim, do you want to just spend a minute on the CPM, this stuff gets a little heady, but...
Kimberly Kelleher: Sure. Sure. I actually -- it's a good time for the question. It's a little early for upfront predictions right now, but we feel it's going to be a solid upfront. And we think that we are pricing our premium content in a very thoughtful way. We're not looking to outprice it. So we'll leave it to others to compete in that space. We're looking to actually serve impressions across all of our distributions and continue to put together a solution for our marketer and advertisers need to reach as many of their targeted subscribers as possible across the entire media ecosystem. But we're not looking to outprice ourselves and feel we are in a competitive place right now.
Thomas Yeh: Understood. Thank you.
Operator: One moment for our next question. Our next question will be coming from Robert Fishman with MoffettNathanson. Your line is open.
Robert Fishman: Hi. Good morning, everyone. I'm wondering if you can talk more about your bundling strategy for AMC+ and your other streaming services. Curious, how should we think about the opportunity for the company to participate in a broader industry reaggregating of streaming services, maybe through direct company partnerships like the recently announced Disney+, Hulu and Max Deal? Or do you see the aggregation pass more just through the typical standard aggregators like Amazon or Roku? And maybe just add, if there's any way to share like what percent of your streaming subs today come direct through or through third parties?
Kristin Dolan: Hi, Robert, it's Kristin. Unfortunately, we can't answer the last question on the D2C versus partners, but I will say that we see great opportunity in bundles or the work that we did last summer with MAX was really positive for us in garnering insights and also helping us understand the ability to put the AMC brand in its own space amongst other content that people can subscribe to. So we're actually -- we're excited to hear about the Disney+, Hulu, MAX bundle. We think in an odd way, it is sort of recreating family cable and putting all the entertainment products together. And we -- as evidenced last summer, feel we sit quite nicely along the same lines with our content from AMC, AMC Plus and all of our other services. So we expect to see more streaming bundles. We are more than happy, as we've said, to participate in them, and we have quite a few conversations going on right now that we hope to share some insights on going forward. Do you want to add anything, Kim?
Kimberly Kelleher: Yes, I'd love to -- we've been an early adopter of bundles being one of the first to bundle on Verizon plus play with Netflix. And then we have current bundles right now with both MGM and Stars that are performing very well. And we continue to pursue opportunities with other programmers in this space, both on the D2C and partner side.
Kristin Dolan: Actually -- Sorry, Robert. the one thing I was going to add is the ad-supported versions of the targeted services now offer us additional opportunities because we can bundle with people that are also ad-supported. So it really doubles and it allows us to double down on opportunities in this area. So we feel really well positioned.
Robert Fishman: Perfect. Thank you.
Operator: [Operator Instructions] Our next question will be coming from Charles Wilber of Guggenheim Securities. Your line is open.
Charles Wilber: Hi. Good morning. Thank you. Two, if I may. First, on content licensing. You noted, excluding the Silo comp that, that was up about 31%. I wondered if you could share any color on what drove that underlying growth and kind of how to think about the puts and takes in the balance of the year. I know there was some impact from accelerating the Hulu agreement last year. And then secondly, on affiliate trends. I believe you've now lapped the fubo nonrenewal there and so it appears that underlying affiliate trends may have accelerated a bit sequentially in the first quarter here. So just any color on drivers here rate versus volume or anything? And whether there's any updates to the full year outlook of the 10% decline given that you didn't reiterate that in the prepared remarks there. Thank you.
Patrick O’Connell: Hi, Charles, it's Patrick. Thanks for the question. I'll take them in turn. First, on content licensing. I think as we said consistently, there's always a robust market for premium programming. And I think we saw that in Q1. We called out the sale of Killing Eve in particular. So we feel very good about the remainder of the year. We obviously got back a bunch of content as we unwind the Hulu deal last year. So that is content that is sitting on the shelf. We've got lines of side across both international and domestic markets, and there's some interesting opportunities percolating there, I would say. So more to come, but we feel kind of very good about that. On the affiliate side, I'd reiterate what I said at the top of the call, which is these relationships are very healthy, very dynamic. We're in conversations with partners continuously here, hear you on the 14% in Q1. But I think as we said before as well, we're taking deliberate actions here to be proactive with many of our partners, extend the durations of our deals. And so whilst the cord cutting is minus 7% or so, our universe looks have a little bit differ than that. So it's kind of high single digits on our affiliated universe. So I just kind of put that on the table for you as well to incorporate into your thinking. But we are very much focused on duration here, and we'll trade a little bit duration for a little bit of rate as the deals come up. So I would think about that as well. But no, we're holding on the guidance broadly, both in terms of total revenue and the components for now. Thanks.
Charles Wilber: Great. Thank you.
Operator: And our next question will be coming from Steven Cahall of Wells Fargo. Steven, your line is open.
Steven Cahall: Thank you. Three for me maybe. So first, Patrick, thank you for the two year free cash flow guide, really big free cash flow in the quarter. Should we think of any of the $0.5 billion being more heavily weighted to 2024 versus 2025? Or was this kind of some timing of spend in Q1? And then secondly, just on your licensing philosophy overall, I think you got fear back from Hulu late last year. I think you have international rights for The Walking Dead. Maybe coming back this year and domestic isn't too far off. Is the kind of philosophy here that you want to put all this together and then you can relicense it for a bigger sum? Or do you think more about keeping it exclusively on your own streaming services to drive value? And then just lastly, how do you think about AMC as a studio for third parties? I know you've kind of walked away from Silo, which was very capital intensive, focused more on programming of your own assets. It does seem like there's still a pretty strong demand for projects in the broader streaming community. So how do you think about kind of AMC as a studio versus a network or a platform at this point? Thank you.
Patrick O’Connell: Hi, Steven, it's Patrick. We'll take these in turn. I'll start with number one on the free cash flow, really healthy quarter. As you noted, it was more timing than anything else in terms of just production. We also had a couple of tax items in there, both on just tax credit as well as reasonably kind of modest kind of tax event that gave us sort of low tens of millions of dollars in the quarter to the good. In terms of 2024 versus 2025, I think we'll stick with what we've been saying consistently, which is we're going to grow over the run rate free cash flow out of 2023, which is $231 million. So we feel really good about growing that into 2024 and continue to feel very good about the $0.5 billion over 2024 and 2025. But this was a really heavy quarter, recognize that. So it will be not quite as heavy going forward here, obviously, given the guide there. So that's the free cash flow piece.
Kimberly Kelleher: Hi, Steve, it's Kim. I'm going to jump in on the licensing. And I would say it's -- we're really thoughtful about it. When you have franchises like Sphere and The Walking Dead coming -- rights coming back our way, we look at each of these franchises very carefully in a considered way, especially internationally, it's more region by region. Where can we monetize it most effectively and make sure we're reaching the largest number of bands. It's not a one size fits all. We're very, very careful about and thoughtful about how we license these franchises. So if it makes sense in one territory to roll everything up into a larger Walking Dead package, we will consider that and are having those conversations. And where it makes sense to hold it back, we will hold it back based on our own streaming plans.
Kristin Dolan: It's Kristin. I just want to reiterate to your question, Steven, relicensing for a bigger sum or keeping it, we really do both depending on the area. So that's, I think, what's allowed us to continue to optimize our growth in the content distribution revenue line. Dan, do you want to --
Dan McDermott: Steven, this is Dan. I'll take the video piece. So AMC Studios is a vibrant and productive group that produces for every one of our platforms. And these shows enable us to build a library, which accrues real value over time for the company and allows us to execute on the monetization of this content, the long-tail monetization now and over time. And so the studio is really important to us. And as we're producing for outside platforms, our production capabilities and the volume of programming that we produce at AMC Studios gives us the opportunity to be highly tactical and selective. And when we have shows like Silo that don't fit for us but fit for other platforms, we're going to take advantage of those opportunities. It's not our primary business, but we certainly envision producing more shows rail-type platforms as we proceed forward.
Steven Cahall: Thank you.
Operator: Okay. And I'm showing no further callers. I would like to turn the conference back to Nicholas for closing remarks.
Nicholas Seibert: Thank you all for joining us today. This concludes the call. Have a nice day.
Operator: Thank you for participating. You may now disconnect.